Operator: Thank you for standing by and welcome to the Paycom Software Second Quarter 2021 Quarterly Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. James Samford. Thank you. Please go ahead.
James Samford: Thank you, and welcome to Paycom's second quarter 2021 earnings conference call. Certain statements made on this call that are not historical fact including those related to our future plans, objectives and expected performance are forward-looking statements within the meaning of the private securities litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results may differ materially because the statements are based on our current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K and our most recent quarterly report on Form 10-Q. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made. And we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. Also, during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income, adjusted gross profit, adjusted gross margin and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom's President and Chief Executive Officer. Chad.
Chad Richison: Thanks, James. And thank you to everyone joining our call. Today I'll spend a few minutes on the highlights of our second quarter 2021 results and the opportunities we are pursuing as we look ahead. Following that, Craig will review our financials and our guidance and then we will take questions. We delivered very strong second quarter 2021 results with revenue $242 million. That grew 33.3% our fastest quarterly growth rate compared to the prior year period since Q4 of 2016, and well above the top end of our guidance range. The upside from the quarter was primarily a result of broad-based demand strength from new client ads and consistent cross selling to existing clients. Our second quarter adjusted EBITDA was $87 million representing an increase of 42% over the prior year period. With these strong results, we are once again raising our full year guidance which Craig will discuss in more detail. The investments we make in our products generate tremendous value for our clients and driver differentiated employee strategy. Our newest employee innovation is Beti, the industry's first self-service payroll technology, allowing employees to do their own payroll, which we officially rolled out to the market in early July. Beti which stands for better employee transaction interface, is an employee driven payroll experience and represents one of the most important advances we've made today. With Beti, employees do their own payroll which allows our clients to benefit from increased payroll accuracy, while employees gain full insight to their paycheck including advanced knowledge of take home pay and how it's calculated. Employees have a direct connection to their paycheck to resolve errors well before payday, so they don't have to wait on or contact anyone for assistance. The additional clarity on how their pay changes and is calculated combined with automatic alerts when items require their action gives employees and clients confidence in the accuracy of their payroll. I'm very pleased with the launch so far. We are receiving tremendous feedback including a VP of HR who said Beti is the most revolutionary payroll product I've ever seen. Another comment from the Chief HR Officer noted that Beti is giving ownership of payroll to employees and managers which is great because they know better than anyone what their paycheck should be. As we said during our Q1 earnings call, we're planning to have 100 pilot clients on Beti in the second quarter and we easily achieved that goal. On July 6, we opened up Beti to all clients. And through the end of July, we've already sold Beti to over 1000 new and existing clients. I continue to expect that all Paycom clients will eventually deploy Beti, it's the only way payroll should be done. Our marketing plan continues to deliver strong demo leads and we intend to spend aggressively in the coming quarters to fuel future revenue growth and further expand our market share in a large and expanding HCM camp. Our messaging continues to resonate with prospects as we contrast the shortcomings of disparate HCM systems, with the value proposition of Paycom's single database solution and self-service capabilities that are stronger than ever. Employees expect their HR software to be efficient and easy to use. And once again, we had record high employee usage rates in Q2, as measured by direct data exchange or DDX. We continue to enjoy increasing traction with both smaller and larger companies. As a reminder, we added multiple inside sales teams as we've continued to have success below our target range. Due to the technological advances, we've made and the demand that's building around our Employee Self Service initiatives, we've continued to be pulled further upmarket as well. As a result, we are pleased to announce that we are expanding our proactive outside sales efforts from targeting firms with 50 to 5000 employees to targeting firms with 50 to 10,000 employees. We've had success selling organizations above our historic range driven by larger company demand. This change we are announcing today empowers our sales representatives to proactively target in this expanded segment. And we're excited by this incremental opportunity. We have clients in the segment already, so we're confident that our solution will compete and serve these clients effectively. On the Paycom branding front, we recently signed a 15-year naming rights partnership with the Oklahoma City Thunder that will transfer their downtown home into the Paycom Center. Oklahoma City is home to 1000s of our employees and I'm happy that the Paycom Center will be home of the Thunder. We have now lapped the tough pre pandemic year over year comparison and Q2, it is more reflective of our historical growth profile, record new client additions over this past year driving our growth. While we saw a very small headcount improvement in our pre pandemic client revenue base, our guidance and future growth initiatives are not reliant on any employment improvement. In summary, Q2 is a very strong quarter that reflects the strength of our execution throughout the pandemic and the investments we've made to further distance ourselves from the competition. Innovation, customer service and new client growth represent the foundation of our long-term revenue growth strategy. And with only approximately 5% market share of a growing [ph] TAM, we continue to have a long runway ahead of us. I want to thank all of our hard working and dedicated employees for their resilience and commitment to winning. With that, I'll turn the call over to Craig for review of our financials and guidance. Craig?
Craig Boelte: Before I review our second quarter 2021 results in our outlook for the third quarter and full year 2021, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. We're very pleased with our second quarter results with total revenues of $242.1 million representing growth of 33.3% over the comparable prior year period, driven primarily by broad-based strength with new client wins and consistent cross selling to existing clients. Within total revenues, recurring revenue was $237.6 million for the second quarter of 2021, representing 98% of total revenues for the quarter and growing 33.5% from the comparable prior year period. Total adjusted gross profit for the second quarter was $206.9 million, representing an adjusted gross margin of 85.4%. For 2021, we remain on target for adjusted gross margin to be in the range of 85% to 86%. Adjusted total administrative expenses were $136 million for the second quarter, as compared to $106 million in the second quarter of 2020. Adjusted sales and marketing expense for the second quarter of 2021 was $64.3 million or 26.6% of revenues. Our marketing strategy continues to generate strong demo leads both within and outside our historical target market range of 50 to 5000 employees. We plan to continue to invest in marketing throughout the remainder of 2021. And as Chad mentioned, we have increased our target market range to 50 to 10,000, thus empowering our outside sales representatives to proactively target larger companies. Adjusted R&D expense was $26.2 million in the second quarter of 2021 or 10.8% of total revenues. Adjusted total R&D cost including the capitalized portion were $38 million in the second quarter of 2021 compared to $27.7 million in the prior year period. We continue to be very pleased with the high-quality innovation we're seeing from our investments in R&D and we'll continue to aggressively recruit talent in R&D to drive our future growth. Adjusted EBITDA was $87 million in the second quarter of 2021 or 35.9% of total revenues, compared to $61.2 million in the second quarter of 2020, or 33.7% of total revenues. Our GAAP net income for the second quarter was $52.3 million or $0.90 per diluted share, versus $28.6 million or $0.49 per diluted share in the prior year period based on approximately 58 million shares in both periods. Non-GAAP net income for the second quarter of 2021 was $56.5 million or $0.97 cents per diluted share, versus $35.9 million or $0.62 per diluted share in the prior year period. We expect non cash stock based compensation for the third quarter of 2021 to be approximately $25 million to $26 million. For the full year we anticipate non cash stock-based compensation will be approximately $95 million to $100 million. For 2021, we anticipate our full year effective income tax rate to be 24% to 25% on a GAAP basis. On a non-GAAP basis, we anticipate our full year effective income tax rate to be 26% to 27%. Turning to the balance sheet. We ended the second quarter of 2021 with cash and cash equivalents of $202.4 million and total debt of $30 million related to construction at our corporate headquarters. Cash from operations was $57 million for the second quarter, reflecting our strong revenue performance and the profitability of our business model. The average daily balance of funds held on behalf of clients was approximately $1.6 billion in the second quarter of 2021. During the second quarter of 2021, we repurchased approximately 94,000 shares for a total of roughly $32 million. For June 30, 2021 Paycom has repurchased over 4.2 million shares since 2016, for a total of approximately $455 million, while we currently have roughly $300 million remaining in our buyback program. Shifting to guidance. We are pleased to provide strong third quarter guidance that reflects the robust performance we achieved in the first half of 2021. And we are raising our full year 2021 outlook as a result. Our Q3 and full year guidance are as follows. For the third quarter of 2021, we expect total revenues in the range of $249 million to $251 million, representing a growth rate over the comparable prior year period of approximately 27% at the midpoint of the range. We expect adjusted EBITDA for the third quarter in the range of $87 million to $89 million, representing an adjusted EBITDA margin of approximately 35.2% at the midpoint of the range. For fiscal 2021, we are raising our expected revenue range to $1.036 billion to $1.038 billion up from $1.017 billion to $1.019 billion, or approximately 23.2% year over year growth at the midpoint of the range. We expect full year adjusted EBITDA in the range of $410 million to $412 million, representing an adjusted EBITDA margin of approximately 39.6% at the midpoint of the range. When combined, we now expect revenue growth and adjusted EBITDA margin to easily exceed the rule of 60 this year. To conclude, we are very pleased with the performance in the quarter, which gives us increasing confidence in our outlook for the remainder of the year. With the launch of Beti and expanded target market and a deep product development pipeline, we have a long runway ahead of us to continue to deliver rapid growth for years to come. With that, we will open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from line of Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Hey first of all, congratulations. That was an amazing quarter end amazing return to high growth. Chad, quick question on the decision to go towards like the 50 to 10,000 employee clients now. Historically, you were always a little bit hesitant because sales cycles seem to get more complex like longer, et cetera. How do you manage that process? And can you still do it with the same sales force, and then I had one follow up.
Chad Richison: Sure, Raimo and so if you remember, it was about three years ago, our range at that time was 50 to 2000 employees. We continue to be pulled up. And so, at that point in time, we made it official allowing our employees to target proactively target companies of that range, because again, we've been pulled more up market. Same things happened here up to 10,000. We continue to be pulled further up market, I would say that the buying criteria for companies of that size has changed. We're all working with the same type of employee, there's no such thing as a large market employee and a small market employee. You can work for a 300 employee one company and work for a 10,000 employee company the next. And so, we're providing a very easy to use standard way for employees to interact with their data. And we're finding it easier to work with larger businesses as they look to displace multiple disparate systems with one.
Raimo Lenschow: Yeah, okay. Perfect. Make sense. And then on Beti, like, if you think about the 1000, the greater than 1000 clients already signed up, like what has been the feedback so far from those clients? Were there some surprises, maybe that you've seen there and that you can utilize for the rest of the client base? Thank you. And congrats again.
Chad Richison: You bet. And so, employees, like I've been saying employees pretty much fly blind into every payroll. They do the work, they clock in, clock out, put in their expenses, manage benefits, manage time off, and everything else, and then they get blindfolded before payday. And then they get to find out on pay day what it meant. I mean, it's similar to blinding the pilots right before they land. You know. And so, what we've done is taken that blindfold off to where employees understand how their checks are calculated, and they can help the payroll department have perfect payrolls, because there's not a payroll person out there, that doesn't have anxiety going into each payroll day, because they want it to be perfect. And so, what Beti does is help everybody get to the right level of accuracy. And it also eliminates a lot of the after fact, manual checks, voids and adjustments that oftentimes clients have to do after an employee's check is incorrect. And we know how important it is for employees' checks to be perfect. They expect it. So, we're having a lot of success with it. And now would expect us to continue that.
Raimo Lenschow: Perfect. Thank you.
Chad Richison: Thank you.
Operator: Your next question comes from a line of Samad Samana with Jeffries. Please go ahead.
Samad Samana: Hi. Good evening, and congrats on that 30% plus growth. It was great to see that come back. So Chad, maybe first question for you just want to think about, it does a cross selling was much more mentioned more often on this call and I think historically, tend to say customers adopt a bit upfront. So, can you help us understand why cross selling is becoming a bigger motion? And is that primarily Beti or is it across the portfolio?
Chad Richison: Yeah, I couldn't say that our cross selling today as a percentage is more of our revenue than what it's been in the past. I would say on a percentage basis, still cross selling for the biggest percent of our revenue is during that year of the ACA, where again, everybody had to take it. I do believe that we're going to be having three or four quarters here some pretty good cross selling, as we move everybody over to the better employee transaction interface, which is Beti. Also, as we're selling new onboarding new clients now, Beti is a part of that. And so, our sales reps - Beti comes with the payroll package now. It is an additional fee for that. But it is included on every quote moving forward for new businesses as we believe this is the way businesses win and achieve their return on investment with our product as it relates to the payroll side of what we do.
Samad Samana: Great, really helpful and maybe as a follow up to that, this was one of the biggest beats take I'm supposed to carve out the expectation. So, I'm curious if you could maybe help us maybe unpack how much how you think about it in terms of better new bookings versus this uplifted Beti versus employment recovery in the install base, as we think about maybe the strength and the quarter?
Chad Richison: Sure. Well in regards to beat in Beti, Beti had very little bit zero impact on second quarter. I talked about on our May call that we would be looking to put 100 clients on it that quarter. We achieved that, I think within the first couple of weeks, and then we held we went through that. And then on July 6, we actually released it to all other clients. So that was within this quarter. So, Beti would have played zero impact as it relates to last quarter. We do think it's going to be a part of our differentiated strategy moving forward. So new logo ads, as usual, is what contributes to our growth, followed by upsells to current clients. As far as macro, we've been going through this now for a little bit. I've been talking a little bit about us having some improvement with the pre pandemic client base, as far as this quarter. I'd say we saw an improvement in hiring during this past quarter, and the impact that it had on our revenue for this quarter, from our pre pandemic client base was $1 million to $1.5 million for the quarter. So that's about $100,000 worth of weekly improvement on that number that we had talked about prior.
Samad Samana: Great. Appreciate the questions, and congrats again on the strong results. Great to say.
Chad Richison: Thank you.
Operator: Your next question comes from line at Brad Reback with Stifel. Please go ahead.
Brad Reback: Great. Thanks very much. Chad, as your sales people have the opportunity to move further up market, do you think that changes the sale cycle length? And if it does lengthen, how do you manage that?
Chad Richison: No, I don't, I mean, a little bit, it's hard for me to say that, you know, a 5000, employee company sales cycle is going to be the same as a 150-employee company sale cycle. I will say the 5000 employee's sale cycle is the same as a 10,000-employee sale cycle. So, I don't know that there's some major differences between the two of those as far as what their sales cycles would be. We're still not looking to engage with long sales cycle that requires us to link up with multiple disparate systems. So, somebody has to be a fit for us to go into that something else. I would say as we continue to have strength the down market, we continue to aggressively achieve our lead volumes, and they continue to go up. And oftentimes those leads are also small business. And so, first of this year, we had four sales teams, and that was up from one the previous year. Throughout this year, we've added another six inside sales teams. And so, now we're 10 inside sales teams, which sell the emerging business or that would be the below 50 market. So, we continue to do extremely well, below 50. And we continue to be pulled up market because again, it's the same employee interface, whether you work for a 150employee company, or whether you work for a 10,000-employee company. Those employees expect ease of use and easy access to their system. And so, we're seeing a lot of momentum being created based off of employee usage, needs and how much it makes it easier for them.
Brad Reback: That's great. And then one quick follow up on Beti, can you help us on the monetization of, sorry if I missed it. What type of lift you get from an existing customer that's adding Beti and been on net new what type of work?
Chad Richison: Yeah, so we've added products in the past where we got 100% usage very quickly, and I'm thinking of DDX and Manager on the go. And those were products that we just included in our pricing with Beti, it is an additional priced product, even though it's now included on every single payroll deal. We believe our pricing is competitive. So, I don't like to just put it out there. You may be able to find it out there. But all I would say is, it's reasonably priced like many of our other modules.
Brad Reback: That's great. Thanks very much.
Chad Richison: Thank you.
Operator: The next question comes from the line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: Hey, good afternoon and let me add my congratulations. With regards to the rapid ramp in terms of the clients that are using Beti, with the 100 that that first came on, can you talk a little bit about like, what sort of experiences they were seeing? Did it really ease or increase the accuracy that they ended up experiencing? Or are you getting any feedback from clients about A, our payroll department doesn't need as many people? And how easy was it to lift, you opened it up on July 6, and now you've got over 1000 on Beti, how easy was it to convert them to Beti?
Chad Richison: Yeah, and so well with Beti, we're already on it. It's something that we turn on for you. But what we have to work with you to convert your processes, we've got a lot of these processes that happened after the factor. We need to have those happen at the beginning or during the payroll transaction. And once you do that, a lot of the processes you'd normally do after the factor are irrelevant. We're able to displace those. And so, we eliminate a lot of processes. And then with some of the processes we move them into earlier in the processing phase. And so, but an answer to your question, we hadn't had anybody turn it off. Once you turn it on, and that's what your employees are doing, you have a very high satisfaction rate with employees, and we have a very strong ROI. Beti itself 100% pays for itself. And it actually helps even pay for the payroll the entire payroll module, because there's an incredible amount of ROI, when you're not having to do manual checks, voids, adjustments, and wire money into employee's accounts to cover in SFBs, they may have because their payroll was wrong. And so, it also gives employees visibility into what their check is going to be. A lot of people live check the check, I mean, over 80% 85% of the U.S. employee let's check the check. And they need to know exactly what the pay is going to be. And if it's $30 off, that's a big difference for them. And so, Beti gives them visibility long before check date, and gives them the ability to interact with their check to make sure it's accurate, which again, increases ROI for the business. It also lowers the business's exposure and certain risks associated with paying people. There's some pretty specific laws on making sure you pay your employees correctly, and that you pay them on time. And with Beti, that's easily achieved.
Mark Marcon: That's great. And does all of those clients have time and attendance already set up? Or did some of them have to add that?
Chad Richison: You know, that's a great question Raimo. I would expect that most of our first…
Mark Marcon: It's Mark.
Chad Richison: Oh, sorry, Mark, sorry, Mark. Mark, I would expect that most of our clients already had time and attendance, because we'd like to go through there and get the ones using quickly that are already ready. Now, I would say most of our clients at Paycom already have time and attendance. But you are right, there will be certain modules that as we go to move Beti would be required for a client to implement.
Mark Marcon: Great. And then one last one, just on the increasing the target range from upper limit of 5000 to 10,000 would be when you first expanded from 2000 to 5000, how many of those 5000 and employee companies were kind of like inbound and kind of approaching you guys? Obviously, you've got a great marketing campaign that's been very successful. Imagine that's drawn a number of inquiries. But can you talk about, like how much of that is being pulled in as opposed to being pushed?
Chad Richison: Yeah, I mean, we do not have a marketing strategy for companies above 5000. We do targeted prospecting. And our targeted prospecting strategies had been three years ago, they were companies below 2000. And then we move that to below 5000, which we've experienced for the last three years. And now we're moving into 10,000. And what that means is we'll start proactively targeting these. We have continued to have people call us of employee sizes in that range. And again, the more that we've had, we've continued to move up our market. And so, what it allows us to do now is do targeted prospecting toward those. And as salespeople make calls, you know, they're able to proactively make those calls. Now, sales reps have always been able to make a proactive call. Sales rep can go out there right now, until a 50,000-employee company, I don't care. But as far as what were our targeted prospecting efforts are toward those companies now that have between 50 and 10,000 employees, and then in our more small business or emerging type companies, it would be for those that are also below 50.
Mark Marcon: Great, congratulations.
Chad Richison: Thank you.
Operator: Your next question comes from the line of Daniel Jester with Citi. Please go ahead.
Daniel Jester: Hey, great afternoon. Thanks for taking my question. It seems like every day there's a new story about how tight labor market is. So, I'm just wondering if you could talk about sort of how the tight labor market may be or may not be impacting inbound demand that you're seeing.
Chad Richison: Inbound interest that we're seeing?
Daniel Jester: Yeah, that's right.
Chad Richison: Okay. Okay, got it. Your last part there cut off? Well, I mean, definitely, I think it plays a role. We've done a lot of surveys that employees like easy-to-use technology at work, I've said an employee shouldn't have to work to work. And so, you definitely have a frustrated employee base, if you have multiple pieces of technology that are difficult to use. Also, it's a hunt for talent out there. You want to retain your good employees, that's a must. Good technology helps you do that. You also need to deploy pretty good technology on the talent acquisition side, because everybody's in a dogfight for talent. Right now, it's a very tight labor market. So, I do believe that there's some of that in there. But everything shifted to this digital transformation and the right way to do something, and it only makes sense that employees would be the ones engaging with their data. And so, we're having success with that. But no, I think the labor market might be tight for a while here, we'll kind of see what happens after that. As far as our business, because of our new business ad, we've really what we've needed stability. And we've had that since the summer of last year, we just we needed some stability within the labor market. And so, I don't think, even if there's different situations with the pandemic, as we go through the remainder of this year, I still believe we're dealing with somewhat of a tight labor market. So, I don't feel like the macro on a go forward is going to impact us like it had, provided that we have some stability here. And it looks like we will from an employment perspective.
Daniel Jester: That's great. And then just as a follow up, you've been selling virtually for, like 18 months. Now you talk about adding inside sales team. I'm just wondering if you can kind of reflect on once you actually do get back to the normal environment, does this change your philosophy about adding new sales offices?
Chad Richison: No, no I mean, its timing, we're just now our managers are getting back into the office. And throughout the rest of this year, people are going to be filtering back into our offices as we go back to the office to do our selling. As far as what type of model and hybrid model we're going to be using, we've been paying attention to why prospects buying, we've also been paying attention to how prospects buy. So, we're going to be supporting the methods that best help both the prospect as well as us be able to, in our case, display what our product does, and in their case, have a clear understanding of what the ROI is for them.
Daniel Jester: Great, thank you very much.
Chad Richison: Thank you.
Operator: Your next question comes from line of Brian Schwartz with Oppenheimer. Please go ahead.
Brian Schwartz: Yeah. Hi, thanks for taking my questions. And congratulations on a great quarter. Chad, maybe if I could just start there on the quarter. Can you shed any light on just how the bookings or the business activity trended in the quarter? Just have a linearity was, we'll start from there.
Chad Richison: Yeah, I mean, we've had really strong bookings since April of last year, things kind of took off, and we were doing well, anyway. But I mean, we've had very strong bookings, in fact, these last two weeks that we just had here in July, these last two weeks that's the largest number we've put up ever in bookings. And so, bookings have been strong as we've continued to push a differentiated strategy that's getting a lot of momentum here in the marketplace.
Brian Schwartz: Thank you. And then Chad, one question I had just on the target expansion move here. I'm just wondering if there's any industry verticals that would have, I would think about fewer organizational complexities to them, and therefore would just be right for Beti and more likely to switch to self-service when you target.
Chad Richison: Yeah, I mean, I really look at it as it's a product for everybody, from the employees' perspective, I would even say that the more complex it is, the more you need to deploy Beti. The more data points you have on a check, the more important it is to deploy something like Beti. So, I'm not going to say that any specific vertical or either easy or complex type of company that Beti would be best for. I think it's best for everybody. And it's 100% best for the American worker to have a product like this to where they can engage themselves with their data, and something that's going to significantly impact their ability to work their financial plan.
Brian Schwartz: And then last question for Craig, just on the marketing and advertising campaigns. Given the bookings momentum year in the business, the commentary, I wonder if you have any plans to increase your advertising spend here in the second half of the year, in support of the Beti product cycle and in the current momentum in the business? Thanks.
Craig Boelte: We're going to continue to spend aggressively on sales and marketing. You've seen that in the past, the back half of the year where we've kind of ramped up sales and marketing. So, I would expect to kind of see the same for us through the rest of the year. Obviously, in marketing plans we've currently baked into our third quarter and full year guidance.
Craig Boelte: Thank you.
Operator: Your next question is from the line of Ryan McDonald with Needham. Please go ahead.
Michael Rackers: This is Michael Rackers. I'm on for Ryan McDonald. Thanks for taking my question. So, we've heard from multiple vendors that churn ticked up slightly on the quarter, as some of the customers that may have wanted to make a change last year couldn't do so because of the other pandemic driven priorities. Did you experience any similar uptick in churn within your customer base? And did you see any more opportunities to replace competitors during the quarter given this dynamic?
Chad Richison: Yeah, what I would first say is it's a bad idea to use our competitors when in relation to churn as a proxy to us, but we do not report either gains or no gains as it relates to retention until the end of each year. What I would say though, is that we're having a lot of success, deploying differentiated product, both to new customers, as well as to current customers and those clients that are buying product are staying. And so, we're having a lot of success. It's a differentiated strategy. And as we continue to have increased DDX usage, where more and more employees are the ones making the impressions on the database and not an intermediary through another department within the company, we would have an expectation that we would continue to have a strong retention rate with our clients.
Michael Rackers: Right, thank you.
Chad Richison: Thank you.
Operator: Your next question is from the line of Siti Panigrahi with Mizuho. Please go ahead.
Matt Diamond: Hey, guys, this is Matt Diamond on the line for Siti. I want to add my congrats for the solid results. One question that's come up. And I think we've alluded to it a little bit, is around Beti. It was mentioned that there are going to be three to four quarters of continued pretty above normal cross selling. We also know that Beti necessitates all of the Paycom modules in order to for clients to be eligible for Beti. Can you help us handicap really what size of the existing client base has all of those modules [ph] CNA sounds like it's pretty widespread, so that we can get an idea of what the magnitude of that cross-sell opportunity looks like over the next three to four quarters?
Chad Richison: Sure. And so, I do want to say one thing, Beti does not require you to have all of our modules. There's a lot of modules you don't need to utilize Beti. Now, it would make sense that someone would take the modules, but things like talent acquisition, as far as you know, recruiting Cobra, a lot of our modules, you don't necessarily have to have to run Beti. But it's a good idea that you implement it within your business so that your employees can use one system. But there are modules that would be required to use Beti like paid time, off time, and attendance, expense management, benefits administration, there are some of them, definitely that you're going to want to use them because without them, you wouldn't be able to use Beti. A lot of those are fairly popular products to us. But we have several clients that don't have them. And so, I would like to thank our sales reps who are probably out there right now, our CRRs who're probably working with a lot of those clients that are already ready to go where we just go and click a button, eliminate most of your processes and shift a few to the beginning. But I'm sure that we will have our internal sales group our client relations group continuing to reach out to clients of all characteristics, whether they have all of the products currently required or just partial. So, there is an opportunity there for us. As far as handicapping it again, we consider our pricing competitive in nature. But there are opportunities sports out there. I do want to say this though our revenue gains are going to be primarily driven by new business wins just because of what in the end and I'm saying new logo wins exist because of the size of a new logo compared to the potential upsell of that same logo.
Matt Diamond: That's a perfect segue to my next question, is there anything that's being done differently or that's been adjusted on the product side to address these 10K customers and above employees, the 10k employees and above. It doesn't seem to be the case. But anything that can be commented on in regards to the R&D spend, and what's being prioritized for that customer base would be helpful?
Chad Richison: No, there's no debt. We're not doing anything different for a 10,000 employee company that we're doing for a 2,300 employee company.
Matt Diamond: Excellent. Thanks so much, guys.
Chad Richison: Thank you.
Operator: Your next question is from the line of Bryan Bergin with Cowen. Please go ahead.
Bryan Bergin: Hey, good afternoon. Thank you. A question here on Beti. Can you comment on what level of client adoption you're anticipating by the end of 2021? And the clarification on the new sales. I understand it's being included in each deal you bid. But are you sitting near 100% attach on it as well here the last several weeks?
Chad Richison: Well, again, yeah, we just like you said, I mean, we started selling it July 6, then, as it relates to new clients, a lot of them would be in conversion. It would be rare that we'd sell a client on July 6, then they would have started by now unless they're smaller business and on the smaller business side, then you definitely could have had some of that. Yes, I mean, because it's the way we're training and setting them up. We're not training on the old model now. I mean, we're going through conversion and training, we're training on how employees do their own payroll. We're not training you and you put your employees' data into our system. And so, yeah, it's part of the conversion. And so, it would be a logical for me to think that anybody even tried to do it the old way. And also, it's included in the ROI. I mean, now our ROI cases include Beti. And it's an important part of the ROI. I mean, you can use Beti and actually it'll pay, it can help pay for the entire system, depending upon how many true issues you've been having in payroll. Payroll is, it's a high risk, low reward activity. If you get it right, who cares employees expected. And if you get it wrong, you upset employees. They have NSF fees, and then you get to pay tax penalties. And so, having perfect payroll is extremely important, and it just wouldn't make any sense to me that any client would buy our product without Beti. And it wouldn't make any sense that they would, since they bought it, it wouldn't make any sense that they wouldn't use it, because their employees want to use it.
Bryan Bergin: Okay, and then just another thought, a common question we're getting around Beti, and the potential offsets of existing service revenue, can you help kind of frame the magnitude of that work within your business to begin with as far as error correction and things like that? And then clarify your view on the revenue accretion of Beti versus those types of services that might automate away?
Chad Richison: You know, I mean, there's definitely going to be Beti's going to replace some what I'm going to call bad revenue for the client. The client didn't have visibility. The employee didn't have visibility, so they have to void a check, and they have to do a manual, than they have to send a wire. And then, to the extent there's a tax event created, because it extends a different quarter a different tax period, you've got to deal with that. And so, there are definitely some fees associated with that. That can be labor work on both our side and the client side, which can carry maybe a higher or a lower, I should say, operating margin as it read in regards to that but - or a higher expense to both us and the client. From a Beti perspective, there's not we're doing to it on our end, and there's not anything the clients having to do. And what I tell clients is, hey, our competitors got themselves out of doing your payroll, we get you out of doing your payroll. Thank you.
Operator: Your next question comes from the line of Alex Zukin with Wolf Research. Please go ahead.
Unidentified Analyst: Hey, this is Alan on for Alex Zukin. I just wanted to drill in on the new business going forward, obviously, sounds like you guys are seeing a lot of strength there. I was wondering if you can help kind of put the context what you're seeing at the lower end of your customer employee range and the top end and kind of how you're thinking about that for the second half. Thanks.
Chad Richison: Yeah, I mean, I would say more of this same. We don't really get to dictate what size companies coming in from our lead volume. As we use our advertising assets, you could have a three employee company clicking on it that has a pet store, and you could have a 10,000 employee company clicking on it. And, we're going to be going after those of all sizes and have been and so, I wouldn't see how we would expect it to be dramatically different than what we're seeing right now. Again, our move up market, we're already there, we just announced that. I mean, we're already there. We're getting the leads; we're already selling the deals. We've got deals larger than 10,000 that are already using our company. So, we're just making it more official, and kind of flying the flag out there right now that we're open for business and we're going to be targeted prospecting those clients up to 10,000 as well.
Unidentified Analyst: Thank you.
Operator: And at this time, there are no further questions. I will now turn the call back over to Mr. Chad Richison.
Chad Richison: All right, thank you. I want to thank everyone for joining us today on the call. As we communicated internally, we're gradually making our way back to the offices and hope to be back as soon as conditions safely permit. I want to thank all of the Paycom employees for their perseverance through the pandemic. Over 70% of our staff are either fully vaccinated are in the process. I like to reiterate that I believe getting vaccinated that saves lives for every 100,000 fully vaccinated people that made it less than one will lose their life from the break through COVID-19 case. Please get your vaccinations and let's end this pandemic. On the investor outreach side, this quarter we'll be presenting at the Oppenheimer Conference on August 10, followed by the Wolfe Conference on September 8, and the Citi Conference on September 14. Paycom will also be hosting one on one meetings in August and September at KeyBanc and Piper Sandler conferences. We look forward to speaking with many of you very soon and appreciate your continued support with Paycom. Thank you, operator. You may disconnect.
Operator: Thank you. And this does conclude today's conference call. You may now disconnect,